Operator: (Operator Instructions) Welcome to Pall Corporation’s conference call and webcast for first quarter of fiscal 2009. We’d like to remind you that the Company’s first quarter press release is available on Pall’s website at www.Pall.com. Management’s remarks this morning will include forward looking statements. Please refer to slide two or request a copy of the specific wording of this qualification for the company’s remarks. Management also uses certain non-GAAP measures to assess the company’s performance. Reconciliations of these measures to their GAAP counterparts are included in the slides at the end of the presentation. At this time I will turn the call over to Mr. Eric Krasnoff, Pall Corporation’s Chairman and CEO.
Eric Krasnoff: I’m here with Lisa McDermott, Pall’s Chief Financial Officer and Frank Moschella our Corporate Controller. We look forward to sharing our latest results and the primary drivers behind them with you today. We’ll also comment on our expectations for the business based on what we’re seeing now and following that we will open the lines up for questions. The Pall first quarter was solid particularly given the macro economic environment. Local currency sales grew 4.3%. Earnings increased 19%. Our ongoing productivity improvement and cost reduction initiatives continue to deliver gross margin improvement. These initiatives are proactive and steady, not reactive crash programs and they give us confidence that even in this period of a slowing top line Pall can deliver an improved bottom line result. In the quarter we achieved 170 basis points of gross margin improvement over last year and operating margin of 13.8% which was a 70 basis point improvement. We believe that Pall is well positioned for the long term. What would we have done had we known this economic turmoil was coming? I can tell you that if we set out to design a recession prepared business it would look very much like Pall does today. Pall serves extremely diverse markets, applications and geographies. Our type of products are high tech enabling in most cases not discretionary. As long as our customers are manufacturing or delivering healthcare, filters are being consumed. We’re the market leader in our field and have strong customer relationships. We have a high recurring revenue stream with consumables at about 75% of the total. Barriers to entry into our markets are typically high. Pall’s balance sheet is strong and our liquidity is solid. You’ll hear more about that from Lisa in a few moments. We have been, for some time now, executing specific programs that are increasing productivity while reducing costs. None of this is to suggest that our business is immune to recessionary pressures. We are beginning to feel them. Consumer electronics, commercial aerospace, pulp and paper, steel and mining are areas where you would expect an impact and we saw this in quarter one. Capital equipment sales could be impacted although this has not been our experience to date. Systems orders were strong in the quarter, the majority of our business which focuses on healthcare, military, food and beverage, energy and chemical production, power generation, and water quality and availability just to name a few should prove more resilient. That also was our experience in this first quarter. The big drivers of our business apply in good times and in bad, in fact, some of them become even more important when our customers businesses are stressed. Pall technologies help to increase efficiency, produce high quality differentiated products and reduce operating costs. Our broad capabilities enable customers to do more with less. Pall’s Total Fluid Management capabilities which are unique in our industry in an increasingly competitive advantage, they in fact prove even more of a benefit in difficult economic times as customers look to outsource more of their engineering and also to work with fewer suppliers. In the quarter systems orders were up 27% over last year. These orders were strong in all regions and in most markets. Among them, biopharmaceutical system orders increased 30%. This growth was driven from Europe where systems orders doubled from last year. Biological manufacturing capacity in India and China is also expanding as companies develop bio similar or bio generic drugs. We are benefiting from a large first scale investment by western companies in biological manufacturing facilities in Singapore to support the Asian market. Municipal Water orders grew 17.5%. In the US, where we derive most of our municipal water revenues, municipal bonds are the primary funding mechanism. These are paid for by water rates not taxes and once a bond is floated for a specific purpose funds cannot be diverted to another use or fill gaps in a municipal budget. A question on everyone’s mind is what impact lower oil prices will have on our energy business. A longer term increase in the price of oil is inescapable and even at today’s prices there is economic incentive to produce energy efficiently and comply with environmental regulation. We would expect to see some reduced investment at refineries because of lower oil prices yet systems orders tied to the energy markets again were strong in the first quarter. Pall products that are used in existing applications continue to be consumed in the ordinary course of oil and gas discovery, production and distribution. How will lower oil prices impact ongoing development in commercialization of alternative energy sources? This remains to be seen. The new administration in the US has indicated its plans to invest $15 billion a year to accelerate commercialization of hybrid cars, promote the development of commercial scale renewables, invest in low emission coal plants and advance the next generational of bio-fuels. Despite the current price of oil it looks like there is now political consensus both in the US and abroad to move forward with energy alternative and cleaner burning fuels. Alternative energy technologies currently represent a small portion about 5% of Pall’s sales to the energy markets. Investment in Power infrastructure which is mostly government funded seems to be moving ahead. Countries like China and India still do not have complete electrification or the infrastructure to eliminate rolling black outs. This month we expect to bid on the first of eight nuclear reactors slated for China, 59 reactors are slated to be operational in Asia between now and 2020. We’ll soon also be bidding on the first nuclear power plant for the US in nearly 30 years. They’ll be built in, two of them actually, one in South Carolina and one in Georgia. While customer investment in the fuels and chemicals market looked a little more tenuous due to the economy power generation looks like it is poised to have a good year and the longer term opportunities for the energy markets in general remain attractive. Consumable sales in Biopharmaceuticals continue to grow despite the well publicized manufacturing slowdown and a few key biotech customers in the United States. The plasma fractionation market looks like it will be strong in the second half of the year as manufacturers increase production of IDIG, that’s particularly in Europe. Biopharmaceutical sales in Asia started the year strong and we expect this to continue. China is poised to adopt more stringent internationally acceptably manufacturing standards or GMP’s and we expect this will help fuel consumable sales over the next few years. Looking at Medical, within the western Hemisphere blood center sales, they reflect reduced volume and blood center sales in the Western Hemisphere I think mask positive results with one, new tenders in Europe and new countries in developing regions are beginning to adopt blood filtration as the standard of care. Russia is a good example there. A big part of our growth strategy for Medical is product and application diversification. We’re pleased to see good growth of our non-blood products, in particular those for infection control and cell therapy. Longer term Pall products that help prevent hospital acquired infections stand to get a big boost from the Medicaid/Medicare policy which will stop reimbursing hospitals the extra costs for treating preventable infections. Also there’s a growing state of law suits against US hospitals relating to acquired infections. It’s often said but it bears repeating that there are about two million hospital acquired infections each year in the United States alone and these result in the staggering 90,000 deaths many of these are preventable. Turning to Aerospace & Transportation, this group had a very good quarter led by Military sales which increased over 37%. Commercial Aerospace will continue to be impacted by reductions in fleet size particularly with the Western Hemisphere airlines. About 800 planes were removed from service late last summer and fewer plans in service mean fewer filters being consumed. To the extent that older planes are parked and the newer planes fly more this will impact us less because the filtration content on newer equipment has a much higher dollar potential per aircraft. Looking at Microelectronics the semi-conductor side of that market has been in a cyclical decline for over a year. Last year our application diversity enabled us to have a flat year despite it. Now the consumers are unable or reluctant to spend producers of electronics good are responding to production cut backs and we saw this in the first quarter. The long term prospects remain good in this filtration intensive industry. We’ve been through this before and have a very experienced and able management team steering the business. This is an opportunity for us to work with customers on new platform development and emerge even stronger, just as we have in prior downturns. With that I’d like to turn the mic over to Lisa McDermott.
Lisa McDermott: I’ll now provide a brief review of the financial results for the quarter. Net earnings in the quarter were $43.1 million or $0.36 per share compared to $36.1 million or $0.29 per share in last years first quarter. Earnings per share on a pro forma basis as defined on slide 18 were $0.40 per share compared to $0.36 per share a year ago. Turning now to the details of our income statement which are on slide 19, I’ll start with the top of the income statement. Sales in the quarter increased 3% on an as reported basis and with the dollar strengthening against the British Pound and various Asian currencies compared to a year ago foreign currency translation reduced our top line by $7 million or a little over 1% in the quarter. The effect of foreign currency translation on earnings per share was immaterial in the quarter but the impact of foreign currency translation will begin to be felt in earnest in this quarter, meaning our second quarter given the precipitous drop in the Euro and British Pound late in the first quarter. Overall, consumable sales grew by 3.5% and system sales grew by a little over 6% so the mix of system sales to total sales was 10%, the same quarter over quarter. Let’s now take a look at sales by our major geographies. Sales in the Western Hemisphere which represent about a third of our sales were flat with growth in Pall Industrial of 6% offset by decline in Pall Life Sciences of 6%. Pall Industrial growth was led by Aerospace & Transportation with strong military aerospace helicopter market and spare sales offset by some weakness on the commercial side. Sales in the Energy, Water and Process Technology markets were essentially flat with mid single digit growth in consumables offset by a double digit decline in system sales in the energy market. Municipal Water and Food & Beverage System sales grew double digits. The microelectronics segment saw continued weakness in the Western Hemisphere as well as in the other two geographies. Sales in both Europe and Asia turned in 6% overall growth. Pall Life Sciences grew by over 10% in both geographies with blood filtration and biopharmaceuticals both turning in double digit growth. Pall Industrial grew by over 5% in Asia and just over 2% in Europe. Energy, Water & Process Technology had double digit growth in system sales in both geographies led by the energy and food and beverage markets. Consumable sales in Asia were also quite strong while in Europe they were flat due to the decline in food and beverage offset by growth in the energy market. Turning to profit on a segment basis, segment operating margins increased by 170 basis points to 16.8%. This was mainly attributable to improvement in gross margins which came in at 48.3% compared to 46.6% in last years first quarter. The driver behind the gross margin improvement was in Pall Industrial. Gross margins here improved by 270 basis points as the impact of our facilities rationalization reduced overhead, logistics initiatives reduced shipping costs, outsourcing to low cost countries and lean initiatives reduced labor costs all really showing through without the pressure of a systems mix change and despite the decrease in higher margin microelectronic sales. Price increases in both segments also contributed approximately 30 basis points in overall gross margin improvement. These factors more than offset inflationary pressures on operating costs. We continue to focus on gross margin expansion via pricing improvement initiatives, systems gross margin expansion and our lean manufacturing and other continuous improvement activities. Selling, general and administrative expenses including corporate expenses which are not reflected on this slide increased about 5.5%. Excluding the estimated impact of foreign exchange which reduced SG&A by about $1.5 million SG&A on a local currency basis actually increased 6.5%. As a percentage of sales SG&A was 31.2% compared to 30.5% last year. The increase in SG&A reflects increased investment on selling and marketing costs in Europe and Asia by the two businesses. Corporate expenses reflect increased consulting costs mainly related to the company’s pricing excellence initiative, increased investment in corporate staffing, and certain foreign currency transaction losses incurred due to the volatility of exchange rates in the quarter. These increases were partly offset by the leveraging of growth in sales and the impact of cost reduction initiatives. In addition to the cost reduction initiatives we have been executing we continue to take further measures to contain expenditures in light of the current macro economic environment. R&D expenses increased approximately 14% excluding the impact of foreign exchange and as a percentage of sales R&D was 3.3% compared to 3% in the first quarter of last year. Increased spending primarily reflects investments in the biopharmaceuticals market including spending at GeneSystems which was acquired in September as well as investments in new technologies across various markets within Industrial. Turning to income taxes, on a full year basis we expect the effective tax rate or the as reported rate for fiscal year 2009 to be about 31.5% compared to 33.3% last year. The company’s effective tax rate was 30.9% in the first quarter compared to 36.6% in the first quarter of last year. Excluding the unusual items in both quarters which were spelled out in last nights release the underlying rate in the quarter and the full year tax rate expectation is about 31.5%. This is a decrease of about 1% compared to last years underlying rate. The decrease in the effective tax rate reflects several planning strategies including successful efforts to qualify for the US research development credit which expired last December and was recently extended by the US congress retroactively as well as tax efficient inter-company financing strategies that I will discuss in a moment. Turning now to cash flows and liquidity, operating cash flow was almost $51 million in the quarter compared to a use of cash of $126 million in the first quarter of last year. Operating cash flow in last years first quarter was negatively impacted by income tax payments, in particular, a $135 million deposit to the US Federal Government as well as increased estimated taxes. Excluding the tax deposit operating cash flow increased about $42 million. The improvement in operating cash flow reflects increased earnings along with favorable working capital sources, particularly reduced investment in inventory. Accounts receivable day sales outstanding were 79 days an improvement of eight days compared to the quarter ended October 31, 2007. However, this was mainly due to the precipitous drop in the Euro and the Pound at the end of the quarter and the translation of balance sheet accounts at quarter end spot rates. Excluding this impact day sales outstanding were flat quarter over quarter. While improving working capital management continues to be a challenge and a top priority. Our balance sheet and liquidity remain solid. Our net debt to net debt plus equity increased in the quarter to $394 million or 27.8% from $322 million or 22% at year end. We have used our global cash position in the quarter to acquire GeneSystems in France, buy back about 1.6 million shares in the quarter at a cost of about $50 million and on capital expenditures as we continue to rationalize facilities. We also paid down about $100 million of foreign outstandings on our revolving credit facility using excess cash overseas earning very low interest rates to pay off the most expensive outstandings overseas with tax efficient inter-company financing. Based on recent discussions with various tax authorities we now believe that we may settle certain matters in the next 12 months including portions of the tax matters that underwent audit committee investigation. As such, the working capital on our balance sheet has decreased by about $27 million as we reclassified about $93 million of tax reserves and associated assets of $66 million as current items in our balance sheet. While we are still tracking the impact that this very challenging macro economic environment may have on our business we now believe that our full year sales growth will not exceed 4% in local currency. Factoring in the further weakening of the British Pound and the Euro we see a stronger foreign currency headwind now inching up to about $215 million on the top line and about $0.20 to earnings per share. However, with the combination of initiatives we have been working on for some time the incremental belt tightening and the reduction in our projected interest and tax expense from the measures I have just discussed we still believe we are on track to achieve organic local currency pro forma earnings per share of $2.10 to $2.30. After factoring in foreign exchange this brings our earnings per share range to $1.90 to $2.10. In closing, we are pleased with our results for the quarter especially in light of the economic turmoil that existed. Pall’s market diversity and strength across the globe will help us mitigate the impact of this uncertain ever changing macro economic environment. I’d like to thank you for your attention this morning. With this I will hand this back to Eric.
Eric Krasnoff: With the help of the conference operator we’re looking forward to hearing your questions.
Operator: (Operator Instructions) Your first question comes from Dan Leonard – First Analysis
Dan Leonard: Presumably the reduction in top line guidance is due to a fall off in business in November that a number of industrial companies reported. Specifically, which of your businesses in the month of November fell most below budget?
Eric Krasnoff: I think it was more in response to the first quarter results which were just 4.3%. As well as what we anticipate will be a slowing for the rest of the year. We’re listening to our customers like Dow announced cut backs in their production so we’re anticipating that. The businesses that we saw mostly affected in the first quarter included Commercial Aerospace, both sides of Microelectronics, the consumer and the semi-conductor side, and the basic industries like mining, pulp and paper, steel production or other types of commodities of that sort and certainly within industrial machinery or mobile equipment types of applications, machine tool.
Operator: Your next question comes from Silke Kueck – JP Morgan
Silke Kueck: Can you talk about how much price you achieved for the quarter and how much price you think you’ll achieve this year in very broad terms?
Lisa McDermott: In the quarter we achieved about 70 basis points of pricing increase and for the year we’re estimating about 1%.
Eric Krasnoff: The pricing excellence program that we began in August we’re expecting to start kicking in in earnest by the end of this fiscal year, in the final quarter of this year. It is progressing well.
Silke Kueck: Can you talk about how sustainable is the growth that you’ve seen in US Military sales, is that something that will continue for the year or also something that could see some slowing.
Eric Krasnoff: One of the markets where we have the greatest visibility and we see the year continuing to be very strong.
Silke Kueck: In terms of commercial aerospace sales what was the change in sales in the quarter?
Eric Krasnoff: Down 7%.
Operator: Your next question comes from Brian Drab – William Blair
Brian Drab: I wanted to start by asking some questions on gross margin, I think gross margin was well ahead of most analysts’ expectations and it sounds like you haven’t taken any really reactive measures to cut costs and all of its coming from previous contemplated initiatives. I’m wondering if you could tell us which initiatives have been most successful or is it really broad based? Secondly, are you planning to take some new initiatives given the dramatic downturn in the economy?
Eric Krasnoff: All of the current initiatives that we have in place which include the rationalization efforts for the United States, global efforts in purchasing logistics as well as in finance and legal areas around the world have contributed. The footprint reduction in manufacturing continues to yield good results. I’d like to particularly focus on the continuous improvement programs and the lean programs within the manufacturing plants; they really came through in this quarter and continue to be significant. As far as the future, we are looking for some additional belt tightening clearly. We’re monitoring the markets carefully. We don’t want them to get ahead of us in terms of cost management.
Brian Drab: A further question on pricing, you mentioned you expect to gain 100 basis points for the full year. That seems like, at least in my estimation, optimistic forecast given the spike that we saw in commodity prices now they’re coming down and combined falling commodity prices with the continued deterioration in the economic environment. Can you talk a little bit more about how you plan to gain price in that type of environment?
Eric Krasnoff: The pricing initiative is not just about raising the customer’s price. There’s also product rationalization within that effort. We’ve also found areas where we’re selling two different products, one high margin and one low margin into the same application competing with ourselves if you will. Looking at the terms and conditions, how are the contracts structured to be both more favorable to the customer in terms of continuity and service as well as providing Pall with a better return. I think there are many ways to do it and the effort is already in piloting phase to a number of markets around the world showing that our goals are achievable.
Operator: Your next question comes from Jonathan Groberg – Merrill Lynch
Jonathan Groberg: On the FX front are you just assuming current FX or are you making any assumptions about what happens with FX when you’re talking about the guidance that you’re giving?
Lisa McDermott: We’re using the rates that exist right now. We’re not betting on where the dollar or the Euro or the British pound may go, forward going.
Jonathan Groberg: Back to the previous question on pricing which is on a lot of people’s minds in this environment what could be deflationary environment. As you started these pilot programs are there certain industries, if you could maybe just expand a little bit on some of the areas where you think you might have more success and where you think you might face maybe slightly more challenges as you try and implement your initiatives?
Eric Krasnoff: We haven’t seen a difference in opportunity by region, it seems to be pretty significant and spread across the regions. For a little more clarification Pall has developed and really built a platform over the last five or six years on total fluid management which means providing a whole range of expertise in goods and services to customers but we really haven’t modernized our pricing or our value proposition with customers to accommodate all that. A lot of what we’re doing right now is just identifying, unbundling, and looking at every aspect that we can provide benefit to a customer then bundling that back into a good price for them. A lot of it is pure marketing to identify the benefits on both sides and to make sure we get the proper return. In this economic environment customers want to deal with pure suppliers and they want if they can to outsource engineering, outsource perhaps quality engineering, reliability engineering and other things that Pall can provide. We think it’s a terrific time this disruptive turbulent time to provide more for customers.
Jonathan Groberg: Can I ask two clarification questions that you may have said and I’m sorry if I missed it? What were system sales as a percentage of total sales in the quarter?
Lisa McDermott: 10% in both quarters Q1 over Q1.
Jonathan Groberg: On the bio production business it sounds like last year you didn’t see as much of the slowing in some of the US accounts you said you’re maybe seeing a little bit more of that now. I just wondered if you could expand on that, on the bio production.
Eric Krasnoff: Particularly on the west coast the major customers are producing, erythropoietin stimulating agents, ESAs were hit with a reduction in the FDA changed its indications. That was in last year’s numbers. We’re hoping to see more of a recovery this year which we haven’t. Last year it was accounted for by very strong European sales. The European sales looked to be not weak but more in line with what we’d expect long term.
Operator: Your next question comes from Tony Butler – Barclays Capital
Tony Butler: You commented on eight tenders for reactors in China. I believe this month. I’m curious if the history for which Pall has been able to apply for previous tenders has been positive, that’s to say I’m looking for what you believe your probabilities are for getting all eight or is it one or none or some permeation of that number. Second, when would revenue from those reactors start coming in? It is years from now, two years, three years or would it be even sooner like in fiscal 2009?
Eric Krasnoff: The initial and the biggest chunk of revenue is in the initial construction of the plant. There are a number of systems, particularly water filtration systems that are critical to these operations. Those would go in early then we would see staged payments for these very large systems so the income stream would be within the first year of receiving an order. We have a very strong technical position on both the Westinghouse, the GE and some of the other nuclear power plan designs. We expect to be a participant hopefully in all of them, maybe to a larger or lesser extent but generally on our projections we look at a 50% probability for systems of this kind. When they start we’re really not in control of that it could be big plants they start constructing in earnest we should start seeing some payments next fiscal year.
Tony Butler: That’s not baked into your guidance currently is that right?
Eric Krasnoff: Not into 2009, no.
Operator: Your next question comes from Richard Eastman – Robert W. Baird
Richard Eastman: On the systems business I think you had said your overall system sales in the quarter were plus 6% year over year. In your orders what was the book to bill there, did your orders exceed that?
Lisa McDermott: Yes, our orders exceeded our book to bill was just an estimate about $1.3.
Richard Eastman: On the system sales that you did ship in the quarter it sounds like from the mix, in other words, biopharm was strong but maybe food and beverage not so strong or down. I would presume that gross margin on those systems what did ship was it north of 25%?
Lisa McDermott: Just as a point of clarification food and beverage did do well in the quarter it was in Europe that it was impacted but overall the systems were up. The margins were north of 22%.
Richard Eastman: To clarify, on the corporate expense number that you dropped below the operating segments that $17 million number is that a run rate number for the year or were some of these consulting costs front ended?
Lisa McDermott: I would say that the run rate for the year is $13 to $14 million a quarter.
Richard Eastman: Given your experience with the micro-e business and the two pieces consumer and we’ve diversified that a bit away from the semi market to consumer. How do you view the first quarter here relative to the year how do you think that business will perform for the year should we be thinking down double digit?
Lisa McDermott: The question was regarding microelectronics?
Richard Eastman: Yes, just for the whole segment should we be thinking down double digit, are we near a bottom or are we still working our way down?
Eric Krasnoff: The semi-conductor I think is going to continue to creep along. Analysts have been hoping that sector would revive in the beginning of calendar ’09. That now doesn’t look likely. The initial hit where we’ll see is on the consumer electronics side. I would expect it to be down less than double digit but it could get close to that.
Operator: Your next question comes from Rob Mason – Robert W. Baird
Rob Mason: I want to clarify your change in the sales guidance. You seem to imply that part of the change was the first quarter at 4% you might have expected better than that?
Lisa McDermott: We did expect slightly better than that and microelectronics underperformed in the quarter and as Eric just mentioned we are expecting to see microelectronics be down for the entire year. That was one thing that certainly precipitated it. The general macro economic environment, some of the impacts that we saw in the quarter and some of the general industrial part of industrial some of the impacts we saw in the quarter led us to believe that all these things taken together that the low end of our previous guidance is about where we think we’re going to hit.
Rob Mason: With respect to the detailed guidance that you laid out in late October for fiscal ’09 local currency growth across your various segments microelectronics we understand that being down, are there any other segments that you see being down now for the year?
Eric Krasnoff: No.
Operator: There are no further questions I will turn the call back to Mr. Krasnoff.
Eric Krasnoff: Thank you very much and we appreciate your participation and questions this morning. Our first quarter results are heartening given the economy and we are guardedly optimistic about the year. Pall is off to a decent start with earnings growth of 19% and we are diligently executing on productivity and cost structure improvement initiatives. We do expect to take additional measures to navigate the company through these trying times, however. We hope you’ll put March 11th and 12th on your calendars when we release Q2 ’09 results the evening of the 11th and then have this conference call again on the morning of the 12th. Thank you until then.
Operator: This does conclude the Pall Corporation conference call and webcast for the first quarter of fiscal 2009. Thank you for your participation you may now disconnect.